Operator: Good morning. My name is Larry and I will be the conference operator today. At this time, I would like to welcome everyone to the Fifth Third Bank Q4 2016 Earnings Release. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you. Sameer Gokhale, you may begin your conference.
Sameer Gokhale: Thank you, Larry. Good morning and thank you for joining us. Today, we’ll be discussing our financial results for the fourth quarter of 2016. This discussion may contain certain forward-looking statements about Fifth Third pertaining to our financial condition, results of operations, plans, and objectives. These statements involve risks and uncertainties that could cause results to differ materially from historical performance and these statements. We’ve identified some of these factors in our forward-looking cautionary statement at the end of our earnings release and in other materials, and we encourage you to review them. Fifth Third undertakes no obligation and would not expect to update any such forward-looking statements after the date of this call. Additionally, reconciliations of non-GAAP financial measures we reference to in today’s conference call are included in our earnings release along with other information regarding the use of non-GAAP financial measures. A copy of our most recent quarterly earnings release can be accessed by the public in the Investor Relation section of our corporate website www.53.com. This morning, I’m joined on the call by our President and CEO, Greg Carmichael; CFO, Tayfun Tuzun; Chief Operating Officer, Lars Anderson; Chief Risk Officer, Frank Forrest; and Treasurer, Jamie Leonard. Following prepared remarks by Greg and Tayfun, we will open the call up to questions. Let me turn the call over now to Greg for his comments. Greg?
Greg Carmichael: Thanks, Sameer and thank all of you for joining us this morning. As you’ll see in our results, we reported full year 2016 net income of $1.6 billion and EPS of $1.93 per share. We believe that 2016 marks an inflexion point for Fifth Third. During the year, we took a number of important steps to help position our bank to deliver superior results through business cycles and better serve our customers. In September, we announced project North Star with a specific financial goal of generating a return on tangible common equity of 12% to 14% by the end of 2019. For the course of the year, we invested heavily in risk management, compliance and information technology. We invested in FinTech companies such as GreenSky, ApplePie, AvidXchange, and Transactis. We’re also pleased to receive a partnership with QED Investors, a leading FinTech venture capital firm. In addition, we announced the acquisition of Retirement Corporation of America, a registered investment advisor. We continue to evaluate acquisitions that would help augment fee revenue. Several of these investments particularly on the digital side are table stakes. Over time, we believe that these partnerships and investments will help us one; expand our delivery channels, two; enhance our digital capabilities, three; develop new process services and four; drive additional business volume. During the year, we took several actions to help improve the profitability of our bank for enhancing our ability to serve our customers. We announced the agreement with Black Knight to consolidate our existing mortgage platforms. This investment will lower our cost in resi mortgages, increase our mortgage loan origination capacity and significantly improve our customer experience. We’re continuing to invest in areas of automation to optimize operations. Reflecting the rapid change of technology and customer behavior, we’re on track to implement our omni-channel strategies. We believe this will allow us to better serve the needs of our customers. Over the last 18 months, we have closed or announced plans to close branches representing 12% of our branch network. There’s been good response to both in changing customer preferences and our desire to need of focus in our core markets. We initiate a program to redesign our commercial client experience which will streamline many of our processes from end-to-end and reduce our cost to deliver. We renegotiate several key vendor contracts driving significant run rate savings. We’re focused on relationships that meet our risk adjusted return hurdles, we were unwilling to sacrifice spreads or credit quality for balance sheet growth. As an outcome of our disciplined approach, we exited $3.5 billion of commercial loans that did not meet our desire risk or return profile. Excluding these deliberate exits, our period end commercial loans would have been up 7% year-over-year. We launched two credit card products which should help drive higher returns in loan growth over time, both in credit cards and other consumer loans should also allow us to achieve a better balance better commercial and consumer loan growth. During the year, while we continue to make investments, we kept a close eye on expenses. In 2016, our expenses only increased by 3.4% compared to our initial expectations of 4.5% to 5% at the start of the year. We tend to continue to generate positive operating leverage in 2017 and beyond. Lastly, we remain prudent[ph] towards capital and returned nearly $1 billion to common shareholders in the form of dividends or share repurchases in 2016 even as our capital levels improved. There’s more work to be done but we believe that the steps we took in 2016 will help us achieve our performance objectives. Before discussing our fourth quarter results, I want to take a moment to thank our employees for their hard work and dedication over the last year. I believe the foundation we have laid in 2016 will position the bank to deliver higher and more resilient returns in 2017 and beyond. Moving to the fourth quarter results, we reported net income to common shareholders of $372 million and earnings per diluted share of $0.49. Some non-core items highlighted in the earnings release resulted in a positive $0.01 impact through core earnings per share in the quarter. Tayfun will provide full details about these items in his opening comments. Our adjusted net interest margin expanded three basis points sequentially. This improvement reflected our continued focus on higher quality customer relationships and the benefit of higher interest rates during the quarter. Expenses were down 1% this quarter compared to the third quarter of 2016 as we continue to tightly manage expenses in this environment. Credit quality continued to improve with a significant in criticized asset levels for the fourth consecutive quarter. A decrease in criticized assets provides further evidence of our focus on stability, and maintained relationships for a better credit profile. Net charge-offs also continued to improve this quarter. On a full year basis, our commercial net charge-off ratio was the lowest that has been in the past 15 years. While we continue to expect the benign credit environment to continue for the foreseeable future, charge-offs can exhibit quarterly variability. Fee income was up 2% sequentially, adjusted for notable items in the earnings release. Fee revenue was down 2% year-over-year driven by lower mortgage and retail brokerage banking revenue. We believe that we have an opportunity to accelerate fee growth in 2017 led by our capital mortgage business. We also think evaluating strategic acquisitions that will help drive fee growth. Production metrics remain strong but the mortgage originations were affected by seasonality and higher rates in Q4. Volume of $2.7 billion was down 5% sequentially but up 54% from last year. Our commercial loan production for relationship manager was up 80% with fees for relationship manager up 30% year-over-year. Our investments in digital channel are paying off, approximately 61% of all transactions are made through digital channels compared to 30% just a few years ago. Overall, we have seen a 29% increase in mobile usage year-over-year. We have also seen a 170% increase year-over-year in checking and savings accounts opened online. Our capital levels remain strong and improved from last quarter. Our common equity Tier 1 ratio increased to 10.4% and 10.17% last quarter. The strength of our balance sheet and earnings allow us to increase our common dividend by approximately 8% or $0.14 per share in December. At Fifth Third, we still believe in supporting our communities. In the fourth quarter, we publicly announced our five year $30 billion community commitment with National Community Reinvestment Coalition. We were pleased to work with CEO John Taylor and 145 of their member organization signing on to a program that will improve lives in communities we serve. It includes broad-based lending, investment and services plan. We also announced a new financial alliance with EverFi, a leader in digital and structural technology. We believe this mission will educate more than 150,000 high school students annually throughout our footprint. Overall, I’m pleased that our strong results for the year enabled us to return a significant amount of capital to shareholders, make strategic investments and support the communities we serve. With that, I’ll turn it over to Tayfun to discuss our 4Q results and our current outlook for some additional color in our project North Star. Tayfun?
Tayfun Tuzun : Thanks, Greg. Good morning and thank you for joining us. I will start with the financial summary on slide four of the presentation. As Greg mentioned earlier, we are very pleased with our results for the quarter. During the quarter, the expansion of our underlying net interest margin, the sequential decline in our expenses and excellent credit quality reflect our continued commitment to driving improved financial performance. For the fourth quarter, there was a net positive impact of $0.01 per share resulting from several items; the most significant item was the $16 million pre-tax charge to provide refunds to certain credit card customers, offset by the previously disclosed Vantiv gain, a positive mark from our Visa swap and a tax benefit from the early adoption of an accounting standard. Our adjusted net interest margin which excludes the credit card charge, expanded three basis points sequentially. We maintained pricing discipline during the quarter and our asset sensitive position allowed us to benefit from the rising interest rate environment. Our reported NIM contracted by two basis points. Expenses remained tightly controlled as we continue to look for efficiencies throughout the organization. Credit quality was excellent as evidenced by our ongoing improvement in criticized assets and a decline in net charge-offs during the quarter. Our focus on improving our returns led us to deliberately exit certain commercial relationships and reduce indirect auto-loan originations. This led to a sequential decline in our total loan portfolio. In aggregate, we exited approximately $3.5 billion of commercial loans in 2016 and we expect to exit roughly another $1.5 billion in 2017. So with that, let’s move to slide five for the balance sheet discussion. Average commercial loan balances were down 1% sequentially and flat year-over-year. As I mentioned earlier, throughout the year we made deliberate decisions to exit lending relationships that do not meet our desired risk and return profile. This had a negative impact on C&I balances which decreased by 1% both sequentially and year-over-year. During the quarter, we maintained our origination spread levels as LIBOR increased, driving a five basis point increase in our C&I yield. We will continue to optimize the portfolio to achieve better returns while improving the stability of our credit performance. The sequential decline in average C&I balances was partially offset by 1% growth in commercial real-estate this quarter. As we have discussed in prior calls, in construction as well as in firm lending, our teams are cognizant of valuation and supply-demand dynamics. Our disciplined client selection and credit underwriting in commercial real-estate will continue to rely on stringent standards. Average construction loans grew by 1% sequentially in the fourth quarter. As a sign of healthy construction portfolio, loan run-off increased this quarter as underlying projects were completed and sold or refinanced. Our pipelines are diversifying away from multi-family and we are becoming more selective as the sector gets deeper into the later phase of the cycle. Average consumer loans were flat from last quarter and were down 2% year-over-year. Auto loans were down 3% from last quarter and 13% year-over-year in line with our reduced originations. Throughout 2016, we maintained a consistent focus on improving the profitability of this business. We are continuing to work on additional tactical changes to further improve the returns in 2017. Residential mortgage loans grew by 3% sequentially and 10% year-over-year as we kept jumbo mortgages, ARMs as well as certain 10 year and 15 year fixed rate mortgages on our balance sheet during the quarter. Our home equity loan portfolio decreased 2% sequentially and 7% year-over-year as loan pay downs exceeded origination volumes. Our originations this quarter were seasonally down 14% compared to last quarter and flat year-over-year. Our credit card portfolio grew by 1% sequentially but was down 2% compared to the fourth quarter of 2015 including the impact of the sale of the Agent portfolio in June. Excluding the sale of the Agent Bank portfolio in the second quarter of 2015, our credit card portfolio would have grown by 3% year-over-year in the fourth quarter. The introduction of two new credit card products last October and investments we are making to significantly upgrade our analytical capabilities should lead to faster growth in credit card outstandings. In addition to our new initiatives in credit card lending, our GreenSky partnership should support faster consumer loan growth as well. We started funding loans in October and are confident that our partnership will help us achieve a better balance between commercial and consumer loan growth. Average investment securities increased 3% sequentially in the fourth quarter, partially due to under investment during the previous quarter. Our investment portfolio yield was stable with only a one basis point decline sequentially. We had three top priorities for 2016 in terms of managing our balance sheet. First, we wanted to make material progress in positioning our loan portfolio for improved and stable returns through the cycle; second, we sought to balance our interest rate risk exposure; third, we wanted to maintain a healthy level of liquidity on our balance sheet. We achieved all three goals by focusing on originating loans that met our targeted return requirements, exiting relationships with sub-par risk return profiles and optimizing our mix of liabilities. These objectives will also remain our top priorities for 2017. At this time, we have exited approximately two-thirds of the commercial lending relationships that did not meet our desired profile and have roughly another $1.5 billion to go. Excluding these deliberate exits, we expect to grow total commercial loans by 4% to 5% in 2017. Including these exits, we expect our commercial loan portfolio to grow by closer to 2% at year-end. We plan to maintain indirect auto loan originations at $3.4 billion in 2017 which will likely result in a roughly $1.5 billion decline in that portfolio. Including the impact of the auto run-off, we expect our overall consumer loan portfolio to grow modestly in 2017 on a period end basis. We also expect to maintain our investment portfolio at roughly the same level we are at today. Average core deposits increased 2% sequentially driven by increased commercial interest checking account balances and consumer money market account balances. Excluding the impact of the two market exits, Pittsburgh and St. Louis, average core deposits were up 2% on a year-over-year basis. Inclusive of the impact of the market exits, core deposit growth was approximately 1% year-over-year. Our modified liquidity coverage ratio of 128% at the end of the year was very strong and exceeded the new 100% minimum. Moving to NII on slide six of the presentation. Excluding the impact of the credit card charge, taxable equivalent net interest income increased $12 million or 1% sequentially. Including the charge, NII was down $4 million to $909 million. The impact of the credit card item was partially offset by improved short-term market grades in the fourth quarter and higher investment securities balances. Excluding the credit card charge, the NIM on an FTE basis increased three basis points from the third quarter to 2.91%. The impact of the charge was five basis points resulting in a two basis point contraction in our reported NIM. Fourth quarter margin performance was largely driven by an increase in short-term market rates during the quarter and continued pricing discipline in our loan portfolio. We expect the NIM to widen by approximately 8% to 9% basis points from the fourth quarter reported number to about 2.95% in the first quarter. On a full year basis, we expect the NIM to range between 2.95% and 3%. The low end of the range is based on the rate scenario with no additional Fed moves, while the upper end of the range assumes two additional Fed moves in June and September. We will continue to execute a balance interest rate risk management strategy as we have done over the last three years. Our risk management approach aims to limit a downside impact of low interest rates while maintaining an asset sensitive position. The cumulative increase in LIBOR over the last two quarters, and our ability to maintain pricing discipline have had a sizeable positive impact on our NIM. If the expectations for higher interest rates actually materialize, NIM expansion will be a function of deposit pricing lags and betas. Our disclosures on this topic are very transparent in terms of the impact of various interest rate and deposit balance scenarios. Including the impact of day count, we expect our first quarter net interest income to be up by 1.5% to 2% from the reported fourth quarter net interest income. With the background of our earning asset growth expectations that I detailed earlier, we are projecting full year net interest income growth of 3.5% to 5% bracketed by the two rate scenarios that I just outlined. Shifting to fees on slide seven of the presentation. Fourth quarter non-interest income was $620 million compared with $840 million in the third quarter. Our fee income adjusted for items disclosed in our earnings release was $608 million, up 2% from the adjusted third quarter level. Mortgage banking net revenue of $65 million was flat sequentially as lower production gains were offset by positive net MSR valuation adjustments during the quarter. Originations were seasonally down 5% from last quarter and up 54% year-over-year. During the quarter, 41% of our origination mix consisted of purchase volumes and 59% consisted of refinance volumes. Approximately 70% of the originations continued to be sourced from the retail and direct channels and the remainder were originated through the correspondent channel. Gains on sale were down 51% sequentially reflecting the lower origination volume and 132 basis points aside of gain on sale margin. Net MSR valuation adjustments were positive at $23 million compared to a negative $9 million last quarter. Corporate banking fees of $101 million were down $10 million or 9% sequentially, reflecting the impact of election related volatility from the time of capital markets activity. Decreases in institutional sales revenue and lease remarketing fees were partially offset by an increase in foreign exchange fees. In 2016, we grew our capital markets fees by 14% reflecting strong performance in all of our investment banking products including M&A advisory, equity capital markets and corporate bank underwriting revenue. Additionally, adjusted for a lease residual impairment reported in 2015, our corporate banking fees were up 4% for the full year in 2016. These results suggest that our relationship driven model and our efforts to increase the scale and scope of our product offerings are bearing fruit. We expect corporate banking fees in the first quarter to be stable relative to the fourth quarter. Deposits service charges decreased 1% from the third quarter and 2% relative to the fourth quarter of 2015. This primarily reflected reduced monthly service charges as part of our new consumer checking account line up. Total wealth and asset management revenue of $5 million was down 1% sequentially. Our focus on reducing reliance on transactional revenue has resulted in nearly 80% of fourth quarter fees now being driven by recurring resources versus 73% in the fourth quarter of 2015. Revenues declined 2% relative to the fourth quarter of 2015 mainly due to lower retail brokerage fees. Result of the fourth quarter included $9 million pre-tax gain from the Vantiv warrant exit that we announced during the quarter. With this transaction, we have exited our remaining warrant position and the final tally on our Vantiv warrants is $812 million in pre-tax gains for our shareholders. Our recurring TRA payment of $33 million is also included in our total non-interest income. Third quarter results were affected by the TRA termination and settlement transactions. The Vantiv related transactions during the last two quarters were very beneficial in terms of managing the risk parameters around our financial interest in Vantiv and reducing volatility in our reported results. Excluding mortgage-banking revenue and non-core items shown on slide 14 of the presentation, we expect non-interest income to grow by 3.5% to 4% in 2017. In the first quarter of 2017, on the same basis, and excluding the annual $33 million TRA payment in the fourth quarter, we expect non-interest income to be roughly flat sequentially. In addition, we expect mortgage origination fees to decline by 10% to 15% in the first quarter. Next, I’d like to discuss non-interest expense on slide eight of the presentation. Expenses were well managed this quarter down $13 million or 1% compared to the third quarter to $960 million. As Greg stated earlier, we are making good progress in executing on key strategic initiatives while controlling expense growth. For the full year, our expense growth was under 3.5% year-over-year compared to our initial guidance of 4.5% to 5% at the start of the year. We expect expenses in 2017 to be up 1% compared to 2016. Our guidance includes incremental expenses associated with new initiatives under North Star. In the absence of North Star related expenses, we would have expected our total expenses to decline by about 0.5% in 2017. Over the past few months, we have stated that we intend to achieve positive operating leverage in 2017 and today’s guidance reflects that expectation. More importantly, we believe that we will achieve positive operating leverage, even if the Fed decides not to raise interest rates further. Once again, I’d like to remind you that our total expenses includes the amortization of our low income housing investments, which most of our peers reflect in their tax line. In 2016, this line item added 3% to our efficiency ratio. Our first quarter expenses will be more elevated this year relative to other years due to timing of certain expenses. We have changed the grand date for our long-term compensation award this year for all of our recipients which will pull forward about $15 million of expenses from the second quarter to the first quarter. In the first quarter, including a merit increase that will become effective during the quarter, we expect our total expenses to be approximately 2% higher year-over-year. Slide nine has a list of initiatives which we shared with investment community last month. As you can see, we are not and we were not expecting a significant revenue impact from these initiatives in 2017. They are in the execution phase and will be providing support for revenue growth in 2018 and beyond. The important note related to these initiatives is that we are paying for these investments by cutting costs elsewhere. Turning to credit results on slide 10. Net charge-offs were $73 million or 31 basis points in the fourth quarter, an improvement from $107 million and 45 basis points in the third quarter of 2016 and $80 million or 34 basis points in the fourth quarter a year ago. The sequential decrease was primarily due to $36 million decrease in C&I charge-offs. Recoveries during the quarter were down $6 million from last quarter and $1 million from the fourth quarter of 2015. Total portfolio non-performing loans were $660 million, up $59 million from the previous quarter resulting in an NPL ratio of 72 basis points. The sequential increase was driven almost exclusively by a single RBL credit in our energy portfolio that is well collateralized and current on all interest. Our criticized assets were down $354 million quarter-over-quarter. Our criticized asset ratio has steadily declined over the last five quarters and continues to be at the lowest levels since before the financial crisis. The decline in criticized assets and low net charge-offs suggest that the credit quality should remain relatively stable. However, credit losses especially on the commercial side - also on a quarterly basis. Our loss position was $26 million lower than last quarter. Our resulting reserve coverage as a percent of loans and leases of 1.36% was one basis points lower than both last quarter and last year. At the end of 2016, our reserve coverage was among the highest in our peer group and well above the median. Our total net charge-offs in 2016 were $363 million or 39 basis points. Our previous guidance that net charge-offs will be range bound with some quarterly variability is unchanged. Also we continue to believe that our provision expense will be primarily reflective of loan growth. Moving on to capital and liquidity on slide 11. Our capital levels remain strong. Our common equity Tier 1 ratio was 10.4%, an increase of 23 basis points quarter-over-quarter and 58 basis points year-over-year. At the end of the fourth quarter, common shares outstanding were down approximately $5 million or 1% compared to the third quarter of 2016 and down 36 million shares or 4% compared to the last year’s fourth quarter. During the quarter, we executed an accelerated share repurchase of $155 million which reduced the share count by $4.8 million shares, primarily reflecting the decline in unrealized securities gains given the rising rate environment, our book value and tangible book value were down 3% and 4% respectively from last quarter. Book value and tangible book value were up 7% and 8% respectively compared to last year. As I mentioned perilously, our common equity Tier 1 ratio increased by 58 basis points from 9.82% at the end of 2015 to 10.4% at the end of 2016. This result, when combined with 1$ billion capital distribution to our shareholders during the year, demonstrates our ability to generate capital at Fifth Third. As we are now going through this year’s CCAR exercise, it is too early to give you meaningful color on our expectations, but sufficed to say, that we will remain good stewards of our shareholders’ capital. During the past four to five years, we targeted stable capital ratios entering the new CCAR cycle and in near term, we would expect to maintain the same approach. The composition of our capital distribution between dividends and share buybacks will be reviewed and approved by our board. With respect to our taxes, the early adoption of an accounting change had a positive impact on our taxes in the fourth quarter of approximately $6 million. We expect our first quarter and full year 2017 tax rate to be in the mid-25% range. Given the anticipation for meaningful changes in the corporate tax regime, there’s a lot of interest in how potential changes may impact our effective rates. It is clearly very early to confidently predict the nature of these potential changes. Our tax positions are similar to other financial institutions in the form of tax credits associated with low income housing, a small portfolio and a very small mini portfolio in some leasing activities. All else being equal, we believe that we should be able to allow a large percentage of any reduction in corporate tax rates to drop towards bottom line, but it is too early to define on the dynamics of the competitive environment and how that may ultimately impact bank’s ability to retain any potential benefits associated with the anticipated changes. Our 2017 financial plan reflects the benefits from our recent actions and provides the four core initiatives of the North Star. These initiatives will leverage our strength in middle market lending, industry verticals and specialty lending areas in our commercial business. In the consumer business, growth initiatives in mortgage banking, credit card and personal lending will provide support for more balanced growth in our overall loan portfolio. We continue to expand our capabilities in businesses such as capital market, insurance and wealth management which generate attractive returns. Our revenue growth outlook, our ability to achieve positive operating leverage without changing our risk appetite, our ongoing discipline of maintaining a strong balance sheet and a longer term strategic positioning of our business lines together provide a positive backdrop for our shareholders. We have included the updated outlook on slide 12 for your reference and with that let me turn it over to Sameer to open the call for the Q&A.
Sameer Gokhale: Thanks, Tayfun. Before we start Q&A, as a courtesy to others, we ask that you limit yourselves to one question and a follow-up and then return to the queue if you have additional questions. We’ll do our best to answer as many questions as possible in the time we have this morning. During the question-and-answer period, please provide your name and that of your firm to the operator. Larry, please open the call up for questions.
Operator: Yes sir. [Operator Instructions]. The first question comes from the line of Ken Usdin from Jefferies. You may ask your question.
Ken Usdin: Thanks, good morning everyone. Just the first question if you could talk about just the overall balance sheet, Tayfun in reference to still some C&I relationships that you’re still exiting and you’re also exiting auto. So just in the context of your loan growth and keeping securities balances fairly flat, would you expect to see much change in the overall size of the balance sheet? How would you just kind of imagine the moving parts across that?
Tayfun Tuzun: Ken, I think with the flat investment portfolio and the 2% year-over-year growth, earning assets will grow. It’s probably going to be closer to sort of 1% type number as the average the two dollar items.
Ken Usdin: And as far as loan growth then and your commentary on credit, just wondering if you could help us understand I think reserving for growth makes reasonable sense. But any context you can give us around recency of your loss expectations, you guys have had a pretty decent swing in your quarterly losses, I’m understanding we’re at that lumpy part, but just a way to understand kind of how to think about your progression on just underlying credit for the year would be helpful? Thanks.
Frank Forrest: Hey, this is Frank. Good question. We’ve had very consistent asset quality results in this year and back in 2016. And again, our focus has been on deliberately changing the risk part of the balance sheet, as you know had a significant number of de-risking activities both on the consumer and the commercial side of the portfolio. We don’t have a significant energy book, it’s very small so we’ve not really had any losses of any size there. Our commercial real-estate book’s performing really well and it’s limited and it’s capped at 15% from a concentration limit of our total book which is lower than our peers. We have a larger midcap book into large cap that is primarily investment grade and it’s performed exceptionally well. The other thing to consider relative to NPLs we reported $660 million NPLs for the year, 72 basis points, 31% of that number are tied to energy and they’re tied to reserve based loans which are very well secure. And the loss profile on that portfolio is roughly 2% max in our opinion, that’s far lower than what you would typically see in an NPL portfolio with substandard loans that generally as a portfolio have anywhere from 10% to 15%-20% loss. So again, the profile of that portfolio by the NPLs the balance sheet management composition of our assets we believe is well diversified and that does very well and we expect in 2017 that are credit losses as Tayfun said should be range bound but should be down for what we reported this year which was 39 basis points at an enterprise level.
Ken Usdin: Thanks very much.
Operator: Your next question comes from the line of Geoffrey Elliot from Autonomous Research. Please ask your question.
Geoffrey Elliot: Good morning. Thank you for taking the question. You helped give us some numbers around expense growth what that would be without the incremental North Star investments. Can you help us think about the same sort of math on fees and on net interest income? What would that look like without North Star this year?
Tayfun Tuzun: So on fees Geoffrey, as we indicated before, we were not expecting much of a lift in 2017. These initiatives are underway, some of them will come to their final phases this year. For example, the mortgage system will go online the fourth quarter of this year, there are others on the capital market side. We are gradually executing that includes potential insurance etcetera. So our expectations with respect to fee income were focused on growth in 2018 and beyond. We have significant investments in our credit card and personal lending areas that would be encouraging both from a fee side as well as the balance sheet side in 2018 and 2019. So, my overall comment is whether it’s NII or fee income, in 2017, you are seeing the results of what we have done so far through the end of 2016. On the expense side, we clearly have started executing some of the expense initiatives earlier in 2016. Now if you include some of the exit strategies in commercial in 2017, those are more negative than positive for NII as you can imagine from – just the pure 2017 calendar year perspective. So that’s why some of the 2017 guidance appears to be a bit more muted, but we are pretty optimistic as we look forward into ‘18 and ‘19.
Geoffrey Elliot: Thanks. And then just to follow up on fees, I think you said something on mortgage income sequentially, I wondered if you could just repeat that for us.
Tayfun Tuzun: Yes, the mortgage income we expect the origination income to be 10% to 15% above I think we said last year’s levels. And that’s purely obviously was just an impact of interest rates actually in mortgage a number of our efforts as we get closer to year-end will boost our ability to support a higher origination level. We just need to manage that transition period between higher interest rates and our new system coming online in an efficient manner.
Geoffrey Elliot: Thank you.
Operator: Your next question comes from the line of Erika Najarian from Bank of America. Please ask your question.
Erika Najarian: Yes, hi. Good morning.
Frank Forrest: Good morning.
Erika Najarian: I just wanted a little bit of clarification on your loan growth guide for the year and thank you very much for giving us the details underneath. So, if I’m taking 2% of $92.1 billion that assume $1.8 billion of net gross. And I’m wondering given your guide for C&I of 2% so that’s about $830 million and then you have the $1.5 billion of decline in auto. I’m wondering where the rest of the growth is coming from?
Frank Forrest : So you have the numbers are roughly – on the C&I side we will see growth – on the commercial side, we will see continued growth in construction, so that will be one source of growth just on a year-over-year basis. We clearly will see some moderate growth in leasing and we expect to see growth in credit card outstandings on a Q4-over-Q4 level and relative stability may be little bit of growth in mortgage as well. And then you also have the positive impact of our GreenSky partnership which we said would produce about $90 million to $100 million growth on a quarterly basis.
Greg Carmichael : Should be about $300 million for the full year, 2017.
Erika Najarian: Got it. And just to clarify on the fee guide for the first quarter, so obviously taking out Vantiv and mortgage, we’re looking for stable fees from the $510 million base from 4Q?
Frank Forrest: On a core basis, no. On that base, we will have growth I mean we’re clearly are not taking our guidance down to $510 million for the first quarter. And I think we need to get you a little bit more detail. We are expecting sort of stable to moderate growth in so our processing income, deposit fees should be stable. We guided for stability I think in corporate banking overall and wealth and asset management should be stable to moderate growth because there are some seasonal factors there that support Q1 growth. The bigger change clearly will be in other sort of non-interest income – other fees which includes the $33 million impact from TRA payments.
Erika Najarian: Got it. Thank you.
Frank Forrest: You’re welcome.
Operator: Your next question comes from the line of Scott Siefers from Sandler O’Neill. Please ask your question.
Scott Siefers: Good morning. I guess first question, can you just clarify the dollar base of which you are guiding for 1% growth in expenses? I think you guys reported $3.9 billion in ‘16 and there was some noise so you get $35 million $40 million lower if you were to use an adjusted base, what is that base?
Frank Forrest: I mean that’s what we are using basically the same, the $3.9 billion number…
Scott Siefers: $3.9 billion? Okay. Perfect. And then I think I’m getting a little confused on fee guidance now, when you say, so I want to follow up on Erika’s question, when you say adjusted flat excluding mortgage in the first quarter, exclude mortgage in the TRA payment. I think that does come to about $510 million so is that adjusted flat with year-over-year or may be if you can just clarify that?
Tayfun Tuzun: That’s for sequentially, adjusted for the TRA payment and mortgage, flat sequential Scott.
Scott Siefers: Okay. All right. Perfect. Let’s see, I think that does it for me. Actually one final question, provision was about as low as it’s been in last three or so. I imagine a portion of that was to release that some reserves in the energy portfolio. Is it realistic to think that you could repeat and have provisions this low again, or would we revert to something along the lines of what’s been the last few quarters I think we’re in that kind of $90 million to $100 million per quarter range. Do you have any sense or can you provide any clarity there?
Tayfun Tuzun: Yeah so without necessarily giving a precise guidance on total provision dollars, I would point out that this quarter’s provision as lower due to one significantly lower commercial charge off dollar number and two, the EOP over EOP declined in loan balances. So as loan balances grow, you clearly are going to – with these releases of growth in that line item and then Frank just talked about overall in terms of charge-off expectations. So I wouldn’t necessarily take the $28 million commercial charge-off and project that over the entire year on a quarterly basis which will guide your provision expectations a little bit.
Scott Siefers: Yeah, okay. Good, I appreciate the color. Thanks guys.
Tayfun Tuzun: Thank you.
Operator: Your next question comes from the line of Ken Zerbe from Morgan Stanley. Please ask your question.
Ken Zerbe: Great. Thanks. Good morning. Sorry to keep asking about this, but just on the mortgage banking side, I just want to make sure I’m really, really clear because I heard the 10% to 15%, is that first quarter versus fourth quarter or is that full year ‘17 down 10 to 15 versus full year ‘16?
Frank Forrest: No I’m not guiding full year mortgage guidance, I’m basically guiding 10% to 15% and I’m talking only about sort of the – if we give guidance, we’re only giving guidance over just for the origination of fees and we’re saying that the origination fees should be 10% to 15% lower than what we saw in the fourth quarter of this year.
Ken Zerbe: Versus of the $65 million, got it.
Frank Forrest: $65 million includes the MSR gains, so I’m not giving guidance on MSR, I’m only giving guidance on just the – of these which is about $30 million or so.
Ken Zerbe: Got it. So $30 million down 10% to 15% and then all the MSR…
Frank Forrest: And then you have basically the servicing fees, the servicing assets, amortization etcetera, that would make up the rest of the mortgage revenue line item.
Ken Zerbe: Got it. All right. Perfect. Thank you very much.
Operator: Your next question comes from the line of Mike Mayo from CLSA. Your line is open.
Mike Mayo: Hi, I want to make sure I understand what you’re guiding to. So for 2017, you’re guiding for at least 250 basis points of positive operating leverage assuming no rate hikes, is that correct? In other words, you take the 3.5% for net interest income and at least 3.5% for fees, that’s the 3.5%, you guided for expenses for 1% that would be 250 basis points of positive operating leverage. Is that correct or no?
Frank Forrest: The only thing that I would point out Mike is that we are not providing – there is a mortgage line item that we’re not providing there. So you need to include that in your numbers and just to make sure that we’re all on the same page, the basis that we’re using for that is $3.64 billion of net interest income in 2016, about $2.4 billion number for fees in 2016 and about a $3.9 billion non-interest expense in 2016. So, yes I mean we’re giving you a very clear guidance on the percentages.
Mike Mayo: Okay, so we plug this in our model later, if we include mortgage, how much positive operating leverage would you expect – would you still expect it assuming no rate hike?
Frank Forrest: Well I’m not giving you mortgage guidance so therefore I don’t think I can answer your question. But just sufficed to say that we are expecting positive operating leverage and wherever our efficiency ratio ends up, you need to subtract 3% from that to make it comparable to our peer group statistics.
Mike Mayo: Okay. And then one follow up, North Star, you’re targeting a 12% to 14% ROTCE by the end of 2019. In 2016, the way you look at it, the reported was 11.6% in 2016, we had a lot of noise, what would you consider a poor ROTCE in 2016? And if you were just to give us some very simple waterfall on how you get from your core ROTCE in 2016 to the 12% to 14% that would be helpful?
Tayfun Tuzun: I think we gave some indication as to how we go from the current level – I think the number that we’re looking for 2016 in terms of core ROTCE is probably about 10%. So, - and we will take you and I think we’ve given you some examples as to how that 10% gets to 12% to 14% and the combination of expense saves, balance sheet – and fee income growth. And Mike we will continue to clarify that path as we execute these initiatives. But obviously the current environment, it materializes whether it’s with respect to interest rates or the tax rates, our expectation is that we would clearly be closer to the upper range of that guidance because we clearly stated that we would reach the lower range of our guidance with no rate increases and a meaningful change in the environment.
Mike Mayo: All right. Thank you.
Unidentified Company Representative: Thanks, Mike.
Operator: Your next question comes from the line of John Pancari from Evercore. Your line is open.
John Pancari: Good morning. Couple of areas clarification again, sorry if there’s any repeating going on here, but in terms of how to think about the end of period loan balance for the fourth quarter here, that was good amount below the average of loan balance I’m assuming it’s because of some of the loan exits that came in late in the quarter. So therefore it’s still a fair base to grow off of as we think of – growth in loans going into next quarter?
Greg Carmichael: John the only comment I’ll make and let Lars give some color on is, it’s roughly $1.2 billion of the $3.5 billion that we talked about exits expected in our credit hurdles or our return hurdles $1.2 billion that was in the fourth quarter. If you exclude the $3.5 billion, we would have been up 7% year-over-year on end of period basis on commercial loans. I’ll let Lars add a little bit color there.
Lars Anderson: Yeah John, keep in mind as you know the end of period number that’s a balance sheet item, it’s a point in time. We’ve already seen frankly a rebound in utilization rates for example in corporate banking, it was off about 200 basis points on a linked quarter basis end of period. We did see encouragingly in the core metal market in the regions about 100 basis points pick up which we do think is may be a reflection of some improved optimism that we’re hearing across our footprint from our clients. So, I think it’s too early to say it’s a trend, but clearly that was a portion of that end of period. But I think we’re really well positioned on a go-forward basis. You’ve heard Tayfun talk this morning about the way that we repositioned the balance sheet, asset quality’s improved, we’ve had five consecutive quarters of yield increases, loan spreads have stabilized in spite of running higher risks, higher coupon assets from the company, capital markets have been benefited from our strategic strategy. We’re taking to the market, so frankly we feel really good about the way that we’re positioned for ‘17.
John Pancari: Okay, that’s helpful. And then the guidance that you provided on the EOP basis of up 2%, just to confirm, that implies that the average balance year-over-year in loans is going to be down 1%, is that fair?
Lars Anderson: No, no the average balance will be up, but it will be up modestly I mean it will be up I don’t know between may be 0.5% or 1%.
John Pancari: Okay. All right. And then on your expense clarification that you gave, you expect expenses for full year ‘17 would have been down or the expectation would be for them to decline only about half a percentage point ex the North Star cost. Does that include cost savings that would be coming from North Star as well or are you excluding that as well or is that in that 0.5% down number?
Frank Forrest: It’s in that number that regarding to the 1% includes some of the savings associated with the North Star initiatives or the number would be higher than that from an expense growth perspective. So we’re taking to the savings and reapply those savings into the investment and also take some of that into the bottom line.
John Pancari: Okay. So it does include the saves but does not include the investments, that down 0.5%...
Frank Forrest: That’s correct.
John Pancari: Okay. And then lastly, the efficiency ratio, I’m just trying to think of a fair way to assume where it could end up for full year ‘17 given the guidance you gave. Is it fair to assume that that could end up around 63% coming off the 64% level for 2016 just trying to weigh in where we think the operating leverage could play out?
Frank Forrest: I think that’s right. I think you’re pretty close, again, obviously interest rates will play a role because there’s 1.5% difference in NII growth based upon what you’re assuming. For the full year, yes, I just – we gave you some guidance on Q1 numbers because of some timing changes, Q1 will be a high point and then we would expect to go down from that level, but your full assumption is pretty close.
John Pancari: Okay. All right. Thank you.
Operator: Your next question comes from the line of Matt O’Connor from Deutsche Bank. Please ask your question.
Matt O’Connor: Good morning. I was hoping to follow up on the North Star comments about 2017 about it being a modest net drag a possibility and kind of just what’s the walk from this modest drag into 2017 to the positive $800 million contribution in 2019? May be give us some concrete numbers or percentages of when that $800 million comes in?
Frank Forrest: Matt you’re going to have to be a bit patient with us. We will give you guidance, but today, we’re giving 2017 guidance. We will provide more color on ‘18 and ‘19 as the year progresses.
Matt O’Connor: I mean I guess to push a little bit like as we exit the 2017, will we start seeing some of the net benefits?
Frank Forrest: Yes.
Greg Carmichael: If you look at a lot of initiatives Matt, the – whether it’d be mortgage system or end to end commercial restructuring or small business platform and the investments that we’re making some of the strategic initiatives with respect to the FinTech space in businesses like GreenSky, a lot of the revenue components of that really start to show up at the end of 2017 into 2018 and expense opportunities associated with North Star we’re seeing some of that benefit in this year to help pay for some of those investments. But more than revenue side of the house, the fee side of the house it really starts to show up at 2018 and 2019.
Frank Forrest: But at the exit this year, you [indiscernible] start seeing signs of those lifts.
Matt O’Connor: Okay. And you still expect the full impact I think it’s year-end ‘19 if that’s correct the full $800 million benefit?
Greg Carmichael: Yes, that’s given the macro environment in a no additional rate increases, we’ll be at the lower end of our 12% to 14% ROTCE range. If we get a better economic environment, we get an improved rate environment, we’d hope to be at the higher end of that range.
Matt O’Connor: Okay. Okay, thank you.
Operator: Your next question comes from the line of Kevin Barker from Piper Jaffray. Please ask your question.
Kevin Barker: Thank you. Just a follow up on some of the comments you made about North Star and it appears on one of your slide, it shows about most of your projects being complete just under 50% or some projects over 50% completed by year-end ‘17. Is it fair to say that at least 30% of North Star’s embedded by the end of 2017?
Tayfun Tuzun: To kick off you mean for 2018 guidance?
Kevin Barker: Yes.
Tayfun Tuzun: I mean I think I don’t have the exact sort of necessarily split in terms of the revenue pick-ups in front of me right now, but you will start seeing those lifts as we get near the end of this year. The few areas where I think it will be more visible clearly personal lending will be one. I think as we sort of finalize the analytical investments in credit card lending, you will start seeing that in 2018. I think you will start seeing capital markets, you will also in addition to that seeing the impact of sort of the exits this year of $1.5 billion left will be coming to an end, so that will provide a built-in improvement in loan growth into 2018. So those are all pointing to a pretty good 2018, but we will continue to provide more details as this year goes on.
Kevin Barker: So what percentage of North Star would you say is completed by the end of ‘17?
Tayfun Tuzun : I don’t have that number right in front of me, Kevin but we will again just give us some time and we will quantify that.
Kevin Barker: And then in regards to the gain on sale margin within mortgage declined quite a bit this quarter, were there any particular fall outs from like a very high level of closings that may have caused some hedging mismatches within the gain on sale…
Frank Forrest: Yeah it’s not a hedging mismatches, but the timing between great loss and lower funding is always from a quarter to quarter may create some volatility. In general, in this environment, we should not expect sort of the three plus percent type margins and we will probably come inside that as – there’s nothing unique in terms of our business, but more reflective of what’s going on in the sector.
Kevin Barker: Thank you.
Frank Forrest: You’re welcome.
Operator: Your next question comes from the line of Saul Martinez from UBS. Please ask your question.
Saul Martinez: Hi, good morning. Thanks for taking my question. I guess my first question is more of a strategic type of question, I appreciate the discipline when it comes to credit risk in commercial relationship, but how do you balance that strategic philosophy or strategic bend with the potential for better economic environment. Do you feel like you’re able to get the incremental upside in 2018 and probably start to pick up and get that upside especially from your more profitable relationships? And I’ll ask my second question now on capital, I guess you guys gave a little bit of your views on your capital strategy and position. But with 2% loan growth, 1% asset growth, you built capital this year ROTCE’s moving up, is it fair to say that there’s room for pretty notable increase in terms of your payout in future CCAR cycle?
Greg Carmichael: This is Greg, I’ll take the first one. First off, you think about 2017, you look at our strategic portfolio, we did a nice job in 2016 in growing the strategic portfolio. We anticipate and expect to grow that portfolio 4% to 5% in 2017. If the economy improves, we get some of the expectations that are out there right now, so to materialize right now I would categorize our customer base is – optimism right now, there’s a lot of opportunity I think it’s believed to be out there until we start to see some of these investments we have made, some of the changes taken place. We hopefully will capitalize that, we’re well positioned with our regional model to take advantage of that, especially in that middle market space. In addition to that, with our investments in our vertical strategies, we’re well positioned to take advantage of any upside in the economic environment. As we mentioned before, from a non-strategic perspective, there’s still roughly $1.5 billion we will push out this year, but even with that expectation, we expect to grow the balance sheet modestly, but with some upside in the economy we would hope to be even more robust.
James Leonard : Yeah this is Jamie, on your second question regarding capital deployment, I think as you know, we do have some capital poised to be deployed in the form of the TRA quarterly options. That’s about $170 million over ‘17 and ‘18 on our pre-tax proceeds basis that will most likely be deployed each quarter going forward that would obviously increase our payout ratio and then in terms of how we’re managing capital. Clearly, we have had a nice capital build that we’re pleased with and that certainly provides us flexibility, but as we sit here today, we still don’t have the instructions, the economic environment for this year’s CCAR. So until we see that, we think it’s a little premature to dictate what the payout ratios will be. However, it is nice to have a little dry powder there if the regulatory provides us with that opportunity, and I think the number most folks would like to hear would be for running of that 10-4 level of what would payout ratios be if we were to maintain a 10% common equity Tier 1 and for us to put you in the 80% to 90% payout ratio before the TRAs. So certainly some upside there, but again, it’s a little premature.
Kevin Barker: No that’s helpful. And if I can just ask a quick clarification on the loan growth guidance, the 2% loan growth you gave, but excluding the $1.3 billion exiting of the non-strategic relationships, commercial grew 4% to 5% and you also said, you’re seeing modest growth in consumer loans obviously with the decline in the indirect – did I get that correct?
Greg Carmichael: First of all, it’s actually $1.5 billion and not $1.2 billion…
Kevin Barker: I’m sorry, right.
Frank Forrest: Overall, I think you’re around the right numbers.
Unidentified Company Representative: Especially if you focus on the commercial component of it, we’ve had a lot of traction as Greg referenced our strategic portfolio were up 7% this past year or so. We feel like we’re very well positioned for that and can accomplish that. We’ve done some other things internally and in terms of realigning some of our credit specialties such as asset base, lending, how we go to market with our leverage lending strategies. And frankly, as we continue to build out our strategic solutions, fee solutions, these are all opportunities not only for us to grow just the balance sheet but also of our fee income. So I think that we’re well positioned to deliver.
Kevin Barker: Okay, great. Thanks. That’s very helpful.
Operator: Your next question comes from the line of Marty Mosby from Vining Sparks. Please ask your question.
Marty Mosby: Thanks. Tayfun, we’ve been having this ongoing kind of debate on deposit betas and you have kind of forecasted that eventually deposit betas are really going to tick up and in your base case you’re using about a 70% deposit beta. When you look at the guidance you’ve given, you’ve given so much explicit guidance on everything, the real delta on what you’re going to earn next year is really what happens to the interest rate scenario and how much you benefit from that. On the first rate hike, you’re kind of forecasting four to five base of point improvement for the December hike, but for the next two you’re only generating about five basis points of improvement. I was wondering what kind of deposit beta you’re assuming in the first and then in the next two rate hikes?
James Leonard: Marty it’s Jamie, I’ll take that one. On the deposit betas, what we experienced on the move in December of 2015 was a beta that started off high single digits, but by June over that six month period, we experienced about a 15% beta. So, on the move that just occurred on December of 2016, we’re assuming a 20% beta and we believe each successive rate hike you’ll see slightly higher betas along with shorter lags in the repricing so that if we were to get a June move, we model a 25% beta and if were to get a move after that whether it’s September or December, we model a 50% beta and we do expect lower betas in the consumer space and higher betas in the commercial space, you’ll just have a higher percentage of index to count in that line of business. And as you said, as a reminder, our interest rate disclosures do model a linear 70% deposit beta.
Marty Mosby: And then a bigger question Greg, the North Star initiative and everything you’re doing there feels like you’re taking a bank and really amping it up and making it a well run bank. But strategically, Fifth Third used to be of low cost, high currency to be able to go out and really use that a weapon in acquisitions, so we knew what Fifth Third was. What strategically are you going to be that’s going to make you different, that’s going to give you that competitive advantage once you complete all these initiatives and just becoming a better bank?
Greg Carmichael: The first thing is when you look at – when you think about how we’re going to run this business, it’s really about being good through the various business cycles. We want consistency of earnings, quality of earnings and the right return on our balance sheet and that’s we put the expectations out with respect to the range of ROTCE, ROA, or efficiency. We’re going to be a very well run bank consistently managing our balance sheet, the profitability, and quality if we go through the cycle and we believe that that gets rewarded over time consistently. And we believe if we achieve those objectives that we put in place from a financial perspective, that will make us the top performing bank and give us the currency we need to continue to do strategic opportunities in the future.
Frank Forrest: This is Frank. Let me just add to that on the, if you look historically on the credit side as Greg said, we’ve had more volatility than our peers probably to go back over the last 15 years. We’ve been very deliberate of the – intentional and very disciplined in changing that and you’ve seen the results of that already over the last 24 months and that will continue. We’re going to do an outstanding job of balancing risk and rewards, we’re not in the business just moving off assets off balance sheet, we’re in a business of evaluating credit, getting paid for the risk, picking the right clients and managing the book in an appropriate manner. Our goal is to be not only good to the cycle, our goal is to help perform our peers through the cycle so that we do have a competitive advantage when we get to the other side of the cycle. Historically, that’s not what we played, we played with a much higher elevated level of criticized assets as you know, that’s no longer the case at all. And we are now well positioned, confident that we can perform not only exceptionally well through the cycle, but we can do it at a competitive advantage that will benefit the company for the long-run.
Marty Mosby: I get the I mean your both answers reflect that you are going to be a better run bank, but competitively what’s going to make you different than just being a good bank? I mean what is – is it a consumer strategy, is it a commercial strategy? At the end of the day, what makes Fifth Third to be able to go out and take business away from another bank that is well run?
Frank Forrest: I think if you talk – first off, we have a great business model, we have the right businesses that we are in, we do a fantastic job of going to the market and our people do a fantastic job going in the market really as one bank Fifth Third. It’s really about harvesting the pool relationships or the customer relationships on the consumer side, on the commercial side. It’s about providing the right products and services to our customers and really be the one bank our customers most value and trust. We worked hard to put that model in place across our franchise. So we feel very good about that. And really our strong brand and our footprint is extremely important to us and we’re going to continue to focus on our brand equity in the marketplace. But when you look at it across the board, we have strong earnings capacity, we have a great team in place, we’ve invested heavily in the right products. We’ve made some strategic moves recently that positions well for the future and I think we have the products, the services and the team to deliver on that in the market.
Marty Mosby: Thanks.
Frank Forrest: Thank you.
Operator: Your next question comes from the line of Matt Burnell from Wells Fargo Securities. Please ask your question.
Matt Burnell: Thanks for taking my question. Jamie let me follow up on capital discussion if I can. Your dividend payouts specifically was a little bit below 30% last couple of years. I understand why that is. I’m just curious given your capital position and the fact that more of the regional, lower risk regional banks appear to be able to get over a 30% payout ratio, some more so than others. How are you thinking specifically about dividend payout ratios over the next couple of years at Fifth Third rising about the 30% level or are you going to keep it there and just do the capital management via buybacks?
James Leonard: Yeah I think you saw our recent dividend increase which is one sign of our confidence in our earnings trajectory as well as our ability to increase that dividend. But I think the one point of clarification when you look at our payout ratios for 2016 is that we have the TRA transactions that are included in those net income denominators. So it makes the payout ratios look a little muted. That TRA gain came in two parts, one was a gain that we did deploy and a buyback of $75 million in the third quarter, but the other gain that we had was $170 million pre-tax gain in 2016 that is deployed or able to be deployed in 2017 or 2018 if the proceeds are received from Vantiv in the quarterly options. So if you factor in or take that out of the denominator for 2016, our payout ratios are actually higher in the 70% range in total as well as the dividend payout ratio I think it was around 31% or so and I think given our earnings capacity as Greg referred to along with our desire to maintain the dividend payout ratio in that 30% may be little bit north of 30% level and I think we have some capacity in the future to deploy that if the board were so inclined.
Matt Burnell: Okay. And Tayfun for my follow up, just looking at the adjusted non-interest income, excluding mortgage banking net revenue on slide 23, that total’s $2.1 billion for 2016, but if I adjusted the Vantiv TRA related transaction, that gets me to the $2.4 billion number that you referenced as a starting point for fee revenue growth in 2017, correct?
Tayfun Tuzun: Correct.
Matt Burnell: Okay. Thank you very much.
Greg Carmichael: Thank you.
Operator: Speakers, you may you continue with your presentation.
Sameer Gokhale: Okay, thank you Larry and thank you all for your interest in Fifth Third Bank. If you have any follow up questions, please contact the Investor Relations department and we will be happy to assist you.